Operator: Greetings and welcome to the Spirit of Texas Bancshares Second Quarter Earnings Conference Call.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jerry Golemon, Chief Operating Officer. Thank you, sir. You may begin.
Jerry Golemon: Thank you, operator and good morning everyone. We appreciate you joining us for the Spirit of Texas Bancshares conference call and webcast to review 2021 second quarter results. With me today is Mr. Dean Bass, Chairman and Chief Executive Officer; Mr. David McGuire, President and Chief Lending Officer; and Ms. Allison Johnson, Chief Financial Officer. Following my opening remarks, we will provide a high level review and commentary on the financial details of the second quarter before opening the call for Q&A.
Dean Bass: Thank you, Jerry and good morning everyone. Welcome. During the second quarter, we celebrated our third anniversary as a publicly traded company. Over those 3 years, we have grown asset size by over 200%, maintained asset quality through challenging times and increased shareholder value through core earnings, share repurchases and quarterly dividends. This quarter’s results represent another strong performance and an established history of profitability and operational excellence. For the second quarter, we earned net income of $12.4 million, representing fully diluted EPS of $0.70 and a return on average assets of 1.57% annualized. Credit quality continues to improve with non-performing assets declining $2.4 million, or 23.9% during the quarter. Additionally, we have been able to maintain the net interest margin above 4%, consistent with our goals. While we are pleased to report another quarter of solid results, a large aspect of ensuring superior performance in the future is understanding the overall economic trends and positioning ourselves appropriately. With the national and Texas economies booming, we have now shifted our internal discussions from borrower health and credit quality to Federal Reserve policy and overall macroeconomic trends, which impact the yield curve and our ability to enhance profitability in the future. Texas, like other parts of the country, is experiencing staffing pressures, supply shortages and other inflationary forces. While we have not experienced significant labor shortages within our network of bankers, we must understand the impact that these challenges are having on our borrowers and the overall capital markets.
David McGuire: Thank you, Dean. Excluding the impact of PPP forgiveness and origination of the most recent round of PPP loans, total loans grew $17.4 million for the quarter, or 3.4% annualized. Historically, the first two quarters have always been a period of slower loan growth with the majority of annual growth coming the last two quarters of the year. Currently, we expect this trend to continue and anticipate high single-digit growth overall for 2021, excluding the impact of PPP loans. Currently, we have $188.3 million remaining of PPP loans with net deferred fees remaining to be recognized of $4.8 million. We anticipate working through significantly all forgiveness applications by the end of the year and anticipate earning materially all of the net deferred fees over the next two quarters. The yield on loans in the second quarter of 2021 was 5.3%, which increased 16 basis points from Q2 2020 and 21 basis points from Q1 2021. The increase in yield related primarily to increased PPP forgiveness and accretion of purchase loan discount, which is earned as the acquired portfolios mature. Excluding the impact of PPP loans and acquired discount, the loan yield was 4.96% compared to 5.4% at March 31, 2021. During the quarter, we have started to experience competitive pressure on loan rates, which are impacting the entire market. As such, we will focus on quality deals and ensure that our borrowers understand the value we provide, which justifies a higher rate than those offered by other institutions. While we do not expect these competitive pressures to compress the loan yield and overall net interest margin in the near-term, we are working diligently to mitigate the impact wherever possible. Overall, our loan pipeline continues to build each month and we expect closure rates to return to pre-pandemic levels in the next two quarters. Additionally, deploying excess liquidity into higher yielding loans will significantly assist net interest income in the coming quarters. During the second quarter, asset quality improved significantly with non-performing loans declining $2.4 million, or 23.9% for the first quarter of 2021. Non-performing loans to outstanding loans decreased to 33 basis points from 41 basis points during the quarter as we have worked through remaining deferments and credits negatively impacted by the ongoing pandemic.
Jerry Golemon: Thank you, David. Total deposits at the end of Q2 were $2.6 billion, a decrease of $25.4 million or 1% from Q1 2021 and an increase of $157.2 million or 6.5% over Q1 2020. The decrease from Q1 2021 is due to a reduction of $51.3 million in PPP-related deposits as borrowers put the proceeds to use. Exclusive of the reduction in these deposits, total deposits grew $25.9 million from Q1 2021 or 4% annualized. Non-interest bearing deposits decreased $28.2 million or 3.5% from Q1, again, with a reduction in deposits related to PPP loans accounting for the decrease. Non-interest bearing deposits currently make up 30.8% of total deposits. Time deposits decreased by $39.5 million or 6.1% from Q1 2021. Due to aggressive re-pricing, the cost of time deposits decreased 16 basis points from Q1 2021 to 0.79%. This improved shift in deposit mix resulted in a 0.32% cost of deposits, a decrease of 5 basis points from Q1 2021. The bank has no broker deposits. The reported loan-to-deposit ratio at the end of Q2 was 88.3%. Excluding PPP activities, the loan-to-deposit ratio is 81%, up from 79.6% at the end of Q1 due to the previously mentioned loan growth of 3.4% annualized for the quarter. Borrowings decreased by $72.6 million during the second quarter to $119.1 million due to the payoff of PPP LF borrowings after obtaining PPP forgiveness on the loans pledged against it. Borrowings totaled 3.9% of assets at the end of Q2. The company has significant sources of available liquidity, including $50 million in a holding company line of credit, Fed funds lines totaling $118 million and Federal Home Loan Bank availability of $778.2 million. I would now like to turn the call over to Allison to provide a financial overview of the second quarter. Allison?
Allison Johnson: Thank you, Jerry, and good morning, everyone. We provided detailed financial tables in yesterday’s earnings release. Consolidated net income for the 3 months ended June 30, 2021, was $12.4 million with fully diluted EPS of $0.70 compared to earnings of $7.7 million and fully diluted EPS of $0.44 in the second quarter of 2020. Net income and earnings per share were primarily driven by the recognition of $2.4 million net accretion of origination fees on PPP loans. We anticipate the majority of the remaining $4.8 million of net origination fees on PPP loans to be recognized during Q3 and Q4 2021.
Dean Bass: Thank you, Allison. I’d like to close by thanking our dedicated management team and talented network of bankers for another quarter of exceptional performance. Obviously, we wouldn’t be here without our supportive investors that share our vision. And of course, thank you to our customer base, which has tripled in size over the last 3 years. We have maintained a culture of excellence at Spirit of Texas Bank that speaks for itself each and every time we report quarterly results. I’m confident in the abilities of our team to tackle any upcoming challenges while always looking for the golden opportunities that are hidden within. Our results reflect that we are well positioned for continued growth and profitability. This concludes our prepared remarks. I’d like to ask the operator to open up the line for any questions. Operator?
Operator:  Our first question comes from Brad Milsaps with Piper Sandler. Please proceed with your question.
Brad Milsaps: Hi, good morning.
Dean Bass: Good morning, Brad.
Allison Johnson: Good morning.
Brad Milsaps: Maybe Allison, I wanted to start with expenses. I think I heard you say that $17 million would be a pretty good run-rate. I think last quarter you talked about the run-rate maybe being closer to $18 million to $18.5 million. Just kind of curious kind of what’s kind of brought those numbers down. I know 1Q benefited from FAS 91, but it seems like you’re doing really well on the revenue side. And just kind of curious, are some projects you put off or you just kind of found some more expense savings to kind of bring your thoughts around that run-rate down?
Allison Johnson: Yes. So really, our run-rate going forward, if you add back Q1 and Q2, if you add back $1 million in origination fees, deferred costs associated with origination fees or origination of PPP loans really gets us to that core run-rate of 17.5. So what occurred in Q2 is we just – we were able to squeeze out a little bit more cost savings out of our mergers from the past. So we really expect that 17.5 to continue going forward. With that being said, we are projecting an increase of about 3.5% annually for salaries, for raises and bonuses going forward. And we also are open to hiring additional producers to help facilitate the increased loan demand, we’re anticipating for the back half of the year. So you may see that increase a little bit going forward.
Brad Milsaps: Okay, great. And Dave, I think last quarter, you talked about maybe getting the high single-digit-type growth for the year. I apologize if I missed this in your prepared remarks, but do you still feel good about that number? I don’t know you obviously expect it to be more back-half-weighted, but just kind of curious kind of what your thoughts are there.
David McGuire: Yes. Just exactly that, Brad, we’re looking really good right now. In fact, this month and next month look extremely good. So it sets us on that pace to reach what by the end of the year, what I’ve guided to. Very, very, very excited about what we’re seeing showing up in our pipeline. It’s almost like it’s returned to pre-pandemic levels, and we’re seeing a broad spectrum of different type of deals that we like to do, and the borrowers are putting their money up to get deals done now. They are really taking their fingers off the pause button and now putting their money where the mouth is to get things done.
Brad Milsaps: That’s great. And maybe just kind of a final bigger picture question, Dean. You guys had another great quarter, easily beat expectations. You got lots of capital, yet the stock is sort of trading 1.30 of tangible book value or so. It’s got to be tough maybe to look at acquisitions in that range. Just how do you feel about the buyback given you’ve got so much capital, could we see you get more aggressive there, particularly with the strong results you posted?
Dean Bass: Well, from the M&A side, it’s never been easy for us. It’s always been hard, but we’ve always executed. And I don’t know if anyone else has come out of the becoming a public company and executed like we have. But – so we have been – we used to play in small ball. And so that’s kind of where we are there on the M&A side. I will let Allison address the buybacks. We look – we don’t want to look for those opportunities. We would rather that price run up where it’s more competitive. And so we are certainly a bargain. Go ahead, Allison.
Allison Johnson: Yes. So during the quarter, we also renewed our stock buyback plan for another year. So, we do have the plan available to deploy. But ultimately, we are looking at the valuations and where our stock price is trading. And we are going to deploy our capital, which makes the most sense for our shareholders and gives them the greatest rate of return.
Brad Milsaps: Great. Thank you.
Operator: Thank you. Our next question comes from Matt Olney with Stephens Inc. Please proceed with your question.
Matt Olney: Thank you. Good morning. I wanted to ask about loan yields. It sounds like there is incremental pressure that was mentioned in the prepared remarks on the loan yields. I would love to hear any numbers you can put behind that and what are spreads look like today versus a few months ago? Thanks.
David McGuire: Matt, this is Dave. Good morning. We are seeing – if I am going to put a number to it, mid to high-4s right now on any term debt of 3 years to 5 years, which is down about a quarter to 35 basis points from what it was in the first quarter. I think that’s kind of where the floor is from our perspective. We are dedicating ourselves and maintaining our margin at all costs above 4%. And to do that, we need to be in the floors most of the time. It doesn’t mean that we won’t fight for good business that meets our needs on the quality side. And for us to grow, we will need those loans. So, there is a little bit of pressure, but it’s not as much as you might think. I think that our marketplace and where we play, typically as borrowers with $500 million to maybe $2 million to $3 million in needs in loans, and we are just able to price in that range much more easily than we can on bigger loans. And so as long as we stay to admitting, that customer base has awakened and so they are requesting loans at a pace that we haven’t seen in over a year that if we maintain our pricing, we will maintain our margins.
Matt Olney: Okay. That’s helpful, David. And then last quarter, we talked about loan participations that were sold that could be potentially called back later in the year. Did we see any of that in 2Q or is that something we could see in 3Q or 4Q?
David McGuire: Yes, Matt, we bought back about $40 million before the – 14, sorry, misstated that, $14 million before the end of the quarter.
Matt Olney: $14 million, okay. Perfect. I think you – may be you sold something north of $40 million in the first quarter. So, is there potential for incremental purchases later in the year?
David McGuire: Yes.
Matt Olney: And then on the PPP, obviously, the bank was a big winner in terms of market share growth and new customer wins. I think you have highlighted before bringing over some of those customers on the deposit side. Have you seen any movement yet on the loan side from some of those newer customers? And if not, kind of what’s the expectation of when you will see some of those tailwinds?
David McGuire: Yes. Actually, we are just now starting to see that. We are – like I said, our customer base is awakening, so to speak, and that includes our PPP customers. So, we are finalizing, bringing overall their deposits and their loans, and they are looking for new loans. So, just this past week, we approved three different new loan relationships that are related to our ability to provide PPP loans to them, and they were significant and so very excited about that. That’s 1,800 unique new customers to the bank that we got through the PPP process.
Matt Olney: Okay, that sounds great. I appreciate your help.
David McGuire: Thanks Matt.
Operator: Thank you. Our next question comes from Brady Gailey with KBW. Please proceed with your question.
Brady Gailey: Hi. Thanks. Good morning guys. I wanted to follow-up just on the loan growth question. So high-single digits this year, which you know this year is a unique year. But when you look out to 2022 and beyond, is that – I know the percentage growth used to be a lot higher, but you are also a larger company now. So, how do you think about kind of loan growth outside of this year into 2022 and 2023?
David McGuire: Well, we are built to grow. And so we have a lending staff that’s got the capacity today, and we are adding additional capacity today that we believe that we are going to be able to maintain low to mid-teens in the foregoing years from here. So, that’s where we would like to be. We like to see that kind of growth. It’s attainable, and we are built for that. So, I would – if I were looking at it, we were guiding to mid to high-teens last year prior to the pandemic. And we are still there. I mean we believe that the economy is functioning properly with our coverage in the State of Texas, being in all the major metros, with our lender teams actively being active in those markets and then adding additional lenders that we are going to be able to maintain that kind of guidance to the market.
Brady Gailey: Okay. Then in the second quarter, you will have some really nice swap fees. I know that can be volatile, but it was $1.4 million in the second quarter. I think it was close to zero in the first quarter. Maybe just talk about the sustainability or what do you think that kind of longer term run rate should be on the swap fee side?
David McGuire: You are correct. It is volatile, but it kind of goes – we have a very large owner-occupied CRE commercial – CRE portfolio. Right now, we are going through and in educating the customers on the value of the swap, particularly in a low rate environment right now in preserving that rate for them into the future, and that is a sales job. And so we have been very successful in the second quarter with that, and we have the same expectations in the third quarter. It’s a little hard to kind of look out past 90 days because those are things, but it’s been really accepted very well in our marketplace. And we think that in looking at that, a reasonable budget might be about $1 million a quarter in that product. And some quarters will be more and some will be a little bit less. But on average, I think that’s a good number to play with. And then also, our new customers that are coming to us, particularly on a fixed rate basis, it allows us really to compete against the larger banks. And so where we will get a floating rate, which we like, and that will get a fixed rate that’s very competitive. It might go out 7 years to 10 years and protect their ability to debt service the debt.
Brady Gailey: Alright. And then lastly for me, I mean, if you look at the reserve, it was pretty flat linked quarter. It’s around 80 basis points of loans ex-PPP. I know you guys have some acquisition marks that make that percentage look higher. Can you just remind us kind of what the reserve is when you put in those acquisition marks and how we should think about that reserve ratio going forward?
Allison Johnson: Yes. So, we have got still $2.3 million of unamortized discount on our acquired portfolio. You add that back in, and we are in the 90s on our coverage ratio. Realistically, with oil prices trading where they are at, above $70 a barrel, the GDP where it’s landing and just seeing improvements in credit quality quarter-over-quarter, I mean that’s going to be about where we are going to sit going forward. I just can’t tweak those qualitatives when the economy is doing so well and then our asset quality just continues to improve. So, that’s kind of our thought process going forward.
Brady Gailey: Okay. And CECL is still coming up for you guys on January 1, ‘23, right?
Allison Johnson: Correct. Yes.
Brady Gailey: Okay, great. That’s it for me. Thanks guys.
Operator: Thank you. This concludes the question-and-answer portion of the call. I would now like to hand the call back to management for final comments.
Dean Bass: Thank you very much for the interest in us today, and I appreciate you calling in and very good questions. Thank you very much. Have a good day.
Operator: Ladies and gentlemen, this concludes today’s webcast. You may now disconnect your lines at this time. Thank you for your participation and have a great day.